Operator: Thank you for standing by for the BorgWarner 2024 conference call. The call will begin momentarily. Thank you for your patience. Good morning. My name is Nick, and I will be your conference specialist. At this time, I would like to welcome everyone to the BorgWarner 2024 Fourth Quarter and Full Year Results Conference Call. All participants will be in a listen-only mode. After today's presentation, there will be an opportunity to ask questions. Press star two. I would now like to turn the conference over to Patrick Nolan, Vice President of Investor Relations. Mr. Nolan, you may begin your conference.
Patrick Nolan: Thank you, Nick, and good morning, everyone. Thank you all for joining us today. We issued our earnings release earlier this morning. It's posted on our website borgwarner.com, both on the homepage and on our investor relations homepage. With regard to our investor relations calendar, we will be attending multiple conferences. You can see the events section of our IR page for a full list. Before we begin, I need to inform you that during this call, we may make forward-looking statements which involve risks and uncertainties detailed in our 10-Ks. Our actual results may differ significantly from the matters discussed today. During today's presentation, we will highlight certain non-GAAP measures in order to provide a clearer picture of how the core business performed and for comparison purposes with prior periods. If you hear us say "on a comparable basis," that means excluding the impact of FX, net M&A, and other non-comparable items. If you hear us say "adjusted," that means excluding non-comparable items. When you hear us say "organic," that means excluding the impact of FX and net M&A. We will also refer to our incremental margin performance. Our incremental margin is defined as the organic change in our adjusted operating income divided by the organic change in our sales. Our all-in incremental margin includes our planned investment in R&D, any impact from inflationary impacts, and other costs. Lastly, we will refer to our growth compared to our market. When you hear us say "market," it is weighted for our geographic exposure. Please note that we have posted today's earnings call presentation to the IR page of our website. We encourage you to follow along with these slides during our discussion. With that, I'm happy to turn the call over to Fred.
Frédéric Lissalde: Thank you, Pat, and good day, everyone. We're pleased to share our results for 2024 and provide a company update starting on Slide five. We delivered approximately $14 billion in sales, which was relatively flat versus 2023. Our industry production for the full year was down approximately 3%. We saw a solid 2024 outgrowth of about 280 basis points. I'm pleased that the outgrowth is both on the foundational and on the e-product side of our portfolio. This demonstrates to me the resiliency of these portfolios and our ability to drive our growth in particularly challenging and volatile end markets. As Joe will detail, we finished the year by securing multiple new product awards for both foundational and e-products, which we believe further supports our long-term profitable growth. Our adjusted operating margin performance was strong, coming in above 10% and above the high end of our guide. This strong underlying operational performance was once again driven by our focus on cost control across the businesses. As a result, our full-year adjusted earnings per share grew by 15%. We delivered $729 million of free cash flow and also exceeded our full-year guidance. As Craig will detail, we remain well-positioned to continue to generate strong free cash flow in 2025. We will do this while also investing in our business to support our focus on long-term profitable growth in efficient powertrains. Today is my final earnings call with BorgWarner. Before I turn it over to Joe, I would like to share a few thoughts with you. I believe that BorgWarner is positioned to grow at the pace of the powertrain mix change. I also firmly believe that BorgWarner is well-equipped, thanks to its decentralized operating model, to excel in a more regionalized powertrain outlook. I have spent 26 years at BorgWarner. I'm proud of the work that was done. I'm proud of our very special combustion portfolio and of the portfolio enhancements that we have executed over the past ten years. We created what I believe is one of the most powerful propulsion portfolios in the world while still keeping at the same time our strong culture, maintaining a double-digit margin, and a free cash flow generation that is quite unique in our tier-one auto supplier world. I want to thank our board of directors, who have been a key sounding board for me with unwavering support for the implementation of our strategies. I want to thank my team members for their stewardship to BorgWarner, their resiliency, and their leadership. I, of course, want to thank all the BorgWarner employees around the world who are making a key difference each and every day. I've been working with Joe on the CEO transition over the past few months, and I've collaborated with Joe over the past 15 years. I have full confidence that Joe is the leader that BorgWarner needs. I also want to thank the analyst community. It's been a pleasure to interact with you over the past few years, interactions that have made me stronger and from which I have always learned. And finally, of course, I would like to thank the shareholders for their trust. With that, I'm excited to turn the call over to you, Joe.
Joe Spak: Thank you, Fred. On behalf of the management team and all of our employees, I would just like to thank you for your leadership over the last 26 years and especially the last seven as CEO. I also want to personally thank you for your mentorship and friendship over the years. You've been an inspirational leader to me, and I believe you've clearly positioned the company well for our next phase of profitable growth. We wish you nothing but success as you move on to the next chapter and hope you enjoy your well-deserved retirement. Now let's turn to Slide six for what I view as the drivers of BorgWarner's value proposition. First and foremost, we have what I view as a strong product portfolio that is resilient to the varied pace of propulsion mix changes that we see across the world. Second, we have strong market share positions across our foundational portfolio, with several of our e-products also improving their market share position. Third, I view BorgWarner's financial strength as a key driver of our success. It allows us to continue to invest in our business regardless of near-term fluctuations in market volumes or mix. Our financial strength is also a differentiator when our customers award us new business. And our financial strength is a direct end result of the financial discipline ingrained into the company's culture. Fourth, the long-term relationships that we've established with our light vehicle and commercial vehicle customers around the world are also a very important driver of our success. These relationships allow us to partner with our consumers to meet their efficiency and value needs beyond just pursuing individual program awards. Lastly, I firmly believe that our decentralized operating model creates speed, accountability, and agility. The agility afforded by our operating model allows us to navigate these times of industry turmoil like we are currently experiencing. With that said, Craig is going to review our detailed 2025 outlook in a few moments. We expect another year of declining industry volumes combined with the uncertainty of tariff implications. As such, let's turn to Slide seven, which outlines our strategic focus areas for 2025 and beyond. First, we aim to outgrow industry production by leveraging our core competencies. BorgWarner's DNA remains focused on efficiency, which includes both fuel efficiency for combustion vehicles and electron efficiency for hybrids and BEVs. Our anticipated outgrowth reflects our customers' demand for efficient propulsion products around the world. In combination with our strong product portfolio and deep customer relationships, we plan to continue to help the world deliver innovative and sustainable mobility solutions for a clean, energy-efficient world, which we believe will drive industry outgrowth for years to come. Second, we must continue to build upon our existing product portfolio. We plan to achieve this by continuing to make thoughtful organic and inorganic investments where we see a strong business case that delivers value to shareholders. Organically, our focus will be to accelerate our scale and gain additional market share across our entire portfolio, and we need to stay focused on driving a product culture that nurtures innovation. Inorganically, we intend to explore opportunities to improve our current market share positions or product adjacencies where we can apply BorgWarner's core competencies. We believe there will be high-quality opportunities in front of us due to the turbulence in our industry. Lastly, we must continue to drive enhanced financial performance. To me, this means striving to expand margins and generating strong cash flow. We will do this through business excellence. We'll achieve this by continuing to actively manage our cost structure as we navigate volatile industry volumes, changing regional propulsion mix, and launching new businesses across the globe. We believe it will be important to balance all these factors in order to preserve BorgWarner's strong financial foundation and enhance our margin and cash flow generation as we grow profitably. Now let's look at some new product awards on Slide eight, which I believe are strong indicators of our future profitable growth. First, BorgWarner has secured an award to supply a state-of-the-art variable cam timing system to a major East Asian OEM for their next-generation hybrid and gasoline engines. BorgWarner's VCT system dynamically optimizes the timing of intake and exhaust valve events, improving combustion efficiency and reducing emissions. These advanced engines will power a range of the customer's hybrid and combustion vehicles, delivering improved fuel economy and reducing environmental impacts. Production of these engines is scheduled to commence in the first quarter of 2026. Second, BorgWarner is expanding our partnership with a major North American-based OEM by extending four wastegate turbocharger programs for i4 and V6 engine platforms. These turbocharger extensions will be deployed on several of the automaker's midsize and large SUVs, as well as truck applications, with the start of production set to begin in 2026. BorgWarner has a longstanding relationship with this OEM, having supplied them with our turbochargers over the last 20 years. We believe these platform extensions are a testament to the strong collaboration between our engineering teams, and we look forward to continuing our work together through the rest of this decade and beyond. Third, BorgWarner will supply two types of transfer cases to SAIC Maxus for use in export vehicles. Both products are designed by BorgWarner's China R&D team and will be manufactured in China, with mass production expected to begin in 2026. BorgWarner's relationship with SAIC Maxus spans more than a decade. Our transfer case technology not only supports SAIC Maxus in strengthening its position in the Chinese market but also empowers its expansion into overseas markets. Finally, BorgWarner has secured four e-motor awards with three major Chinese OEMs, used on plug-in hybrids, range-extended hybrids, and electric vehicle platforms. These programs are expected to launch in 2025 and 2026. We are pleased to secure this business in the Chinese market. We believe these awards further validate our innovative technology and manufacturing processes, delivering high-quality products and services to meet the evolving needs of the Chinese new energy vehicle market. To summarize, the takeaways from today are that BorgWarner ended 2024 with strong results. We delivered 2024 outgrowth of just under 3%. Our adjusted operating margin was over 10%, and our free cash flow generation was very strong. Over the course of the year, we secured new foundational and e-product business awards, which we believe once again demonstrate our product leadership on both sides of our portfolio. As we look forward, we are expecting to deliver another solid year in 2025 as we focus on what we can control. As Craig will detail, our guidance includes that we expect to outgrow industry production, deliver an adjusted operating margin above 10%, and continue to generate strong free cash flow. My priorities align with our 2025 outlooks as we will strive to secure new business awards that will allow us to continue to outgrow industry production. We will build upon our existing product portfolio by increasing our e-product scale and gaining market share. We plan to do this through fostering a culture of innovation, customer intimacy, and thoughtful portfolio investments that drive shareholder value. And finally, we continue to drive enhanced financial performance. It's this financial strength and discipline of this company that help differentiate us from our peers, and we intend to continue to focus on that strength as I take over as CEO. If we effectively execute these priorities, I believe we will be well-positioned to continue to grow the earnings power of BorgWarner, which we believe will drive long-term value for our shareholders for years to come. With that, I'll turn the call over to Craig.
Craig Aaron: Thank you, Joe. Good morning, everyone. Before I dive into the financials, I'd like to provide a quick overview of our fourth-quarter results. First, we reported just over $3.4 billion in sales, which was down approximately 2% versus the prior year, excluding FX and M&A. Market production in the quarter was down approximately 4%, so we saw sales outgrowth in the quarter of approximately 220 basis points, which was slightly below our full-year outgrowth of 280 basis points. Second, we had strong adjusted operating margin performance in the quarter at 10.2%. This was driven by solid operational performance, a continued focus on cost controls across the business, and restructuring actions. This strong fourth-quarter performance allowed us to deliver a full-year adjusted operating margin above 10%, which was up 50 basis points from 2023. Third, we had strong free cash flow in the quarter, up $539 million, which allowed us to outperform our 2024 free cash flow guidance and deliver $729 million in free cash flow for the full year. Now let's turn to Slide nine for a look at our year-over-year sales walk for Q4. Last year's Q4 sales from continuing operations were just over $3.5 billion. You can see that the weakening U.S. Dollar drove a year-over-year decrease in sales of $32 million. Then you can see a decrease in organic sales of about 1.5%, which was 220 basis points above market production. This outgrowth was primarily due to strong e-product growth in Europe and Asia, as well as strong foundational growth in Europe, North America, and the rest of the world. In China, we saw challenges in the quarter due to lower volumes on an existing EV program, which we previously highlighted, and declining foundational sales. Finally, the acquisition of Eldor added $6 million of sales year over year. The sum of all this was just over $3.4 billion of sales in Q4. Turning to Slide ten, you can see our earnings and cash flow for the fourth quarter. Adjusted operating income was $352 million, equating to a strong 10.2% adjusted operating margin. That compares to adjusted operating income from continuing operations of $332 million or a 9.4% adjusted operating margin from a year ago. On a comparable basis, excluding the impact of foreign exchange and M&A, adjusted operating income increased $37 million on $57 million of lower sales. This is a great result and reflects our ability to deliver profitability despite a declining production environment. This performance was driven by the benefit of our PowerDrive systems restructuring that we announced in July, as well as our continued focus on cost controls across our business. The net impact of Eldor was a $12 million drag on operating income year over year. Our adjusted EPS from continuing operations was up $0.11 compared to a year ago as a result of strong adjusted operating income, lower net interest expense, and the impact of our share repurchases. This was partially offset by a higher effective tax rate due to various tax restructuring initiatives that we executed in the quarter. Free cash flow from continuing operations was $539 million during the fourth quarter, which was down $140 million from a year ago as a result of lower business activity compared to 2023 and the timing of customer payments. Our free cash flow for the full year was strong at $729 million. Finally, I'd like to briefly address the $646 million of goodwill and fixed asset impairment charges that we recorded during the fourth quarter. In the fourth quarter of each year, we perform an impairment test. The discounted cash flow analysis we perform requires us to make long-term estimates of our sales and operating income and compare that to the carrying value of each business unit. Due to the continuing delay of BEV adoption across the Western world, our discounted cash flow estimates for our PowerDrive system and Battery and Charging Systems business units from prior years had to be reduced and pushed out. As a result, the company recorded a goodwill impairment charge of $577 million in the fourth quarter. We also recorded a charge of $69 million primarily related to certain property, plant, and equipment. It's important to note that these items are non-cash and have a minimal impact on the future earnings or margin profile of the company. In our opinion, the delay of BEV adoption in parts of the Western world is exactly why we have built a resilient technology-focused portfolio that we believe will provide strong results no matter the pace of regional propulsion adoption. If regional BEV adoption continues to be delayed, we believe our foundational portfolio will compensate with significant margin and free cash flow generation. Next on Slide eleven, I would like to review our perspective on global industry production for 2025. We expect our global weighted and light commercial vehicle markets to be down 1% to 3% this year. In 2024, this forecast includes potential industry volume headwinds of global tariffs. Looking at this by region from a light vehicle perspective, we're planning for our weighted North American markets to be down approximately 3% to 4%, primarily driven by inventory headwinds and potential inflation due to tariffs. In Europe, we expect our weighted market to be down approximately 4% to 6% year over year as we see signs of a lower backlog and economic headwinds. In China, we expect the overall market to be flat to down 1%. This is due to a tough comparison following last year's growth and the possible economic impact of tariffs. With that in mind, now let's take a look at our full-year outlook on Slide twelve. First, as I just highlighted, we have included some level of industry volume headwinds from tariffs in our market volume assumptions. However, we have not incorporated the net cost of tariffs in our financial guidance at this time since the impact to BorgWarner is influenced by multiple factors. These include, but are not limited to, the timing of implementation, any exemption on imported materials, and our ability to share the impact with our customers and suppliers. Now let's move to our outlook. We are projecting total 2025 sales in the range of $13.4 billion to $14 billion. Starting with foreign currencies, our guidance assumes an expected full-year sales headwind from weaker foreign currencies of $410 million compared to 2024. As I just highlighted, we expect our end markets to be down 1% to 3% for the year. However, we expect the company to outperform market production by 100 to 300 basis points, which once again demonstrates the resiliency of our portfolio that we believe is positioned to outgrow market production. It's important to note that our guidance includes a 30 basis point outgrowth headwind from lower battery cell prices, which we directly pass through to our customers. Based on our updated outlook, we expect our organic sales change to be down 2% to up 2% year over year. Now let's switch to margin. We expect our full-year adjusted operating margin to be in the range of 10.0% to 10.2% compared to our 2024 adjusted operating margin of 10.1%. The low end of our margin outlook contemplates the business delivering a full-year decremental conversion in the low double digits, while the high end of our outlook assumes an incremental conversion in the high teens. We view this as strong underlying performance building off of 2024 that well exceeded our expectations. Based on this sales and margin outlook, we're expecting full-year adjusted EPS in the range of $4.05 to $4.40 per diluted share. We expect full-year free cash flow to be in the range of $650 million to $750 million, with the 2025 midpoint being a decline versus 2024's strong result due to FX headwind. With that, that's our 2025 outlook. So let me summarize my financial remarks. Overall, we delivered solid 2024 results despite a difficult production environment. We delivered a very strong 10.1% margin, which was 50 basis points higher than 2023 and well ahead of the 9.2% to 9.6% margin reflected in our initial 2024 guidance. This great performance is a result of our focus on appropriately managing our costs across our business. We generated strong free cash flow of $729 million. Now as we look ahead to 2025, our outlook aligns with the priorities Joe highlighted earlier. First, we expect to continue to outperform market production with an expected full-year outgrowth of 100 to 300 basis points despite headwinds from battery cell pricing and BEV program delays. Second, we expect to once again deliver an adjusted operating margin above 10%. We believe this shows our ability to manage our cost structure effectively even in light of a declining production environment. Finally, we expect to have another year of strong free cash flow, which we believe, in combination with our investment-grade balance sheet, will allow us to continue to invest in our business while navigating a challenging and uncertain market backdrop. As I look back on our 2024 results and our 2025 outlook, I'm extremely proud of the BorgWarner team around the globe and their ability to deliver strong financial results during a challenging and volatile market backdrop. With that, I'd like to turn the call back over to Pat.
Patrick Nolan: Thank you, Craig. Nick, we're ready to open it up for questions.
Operator: At this time, we will pause momentarily to assemble our Q&A roster. And your first question today will come from John Murphy with Bank of America ML. Please go ahead.
John Murphy: Good morning, everybody, and Fred, congratulations. Look forward to visiting you in Burgundy. It'd be a lot of fun, hopefully. And, Joe, I apologize. You're gonna have to deal with us now. But thank you. First question, the portfolio that is well balanced almost in whichever direction powertrains go seems like a very good way to be positioned, and you're set there. Just curious as you look at sort of the short-term swings that we're seeing in programs, stuff like Ford canceling the three-row EV last year, when those shifts happen very quickly, how well do you think the portfolio is hedged? And do you think you pick up those lost sales with something like the Explorer, the ICE version, or something like that? How quickly did that get balanced out? And maybe sort of, with that, is that one of the key drivers of why we're seeing this $100 million variance in inorganic sales, or what else is driving that $600 million organic variance?
Joe Spak: Yes. Hi, John. So you look at the RFQs outside of China, they have been slowing a little bit, and we've seen some delays or cancellations. On the other side, we see more RFQs for foundational products, and those usually result in higher volumes of our existing products we're serving a customer with, or it might be extensions because they've delayed an EV truck or SUV. So we're in a great position to take advantage of that and also be ready when they launch those new programs on EVs in the markets.
John Murphy: Okay. And that $100 million organic variance in the 2025 outlook, is that being driven by deltas in volume or program shifts? What's the key driver of that variance?
Joe Spak: So for the outlook, or let's say the 2024 results, as you know, we outgrew those markets in that 2% to 3% range. As we look forward, we continue to expect that outgrowth as Craig had mentioned, in 2025.
John Murphy: Okay. And then just maybe one quick follow-up, if you could just remind us what your China exposure is right now with domestics versus international players and where you think that's gonna land in 2025 and how much it may shift towards the domestics in the next few years?
Joe Spak: Specifically in China?
John Murphy: In China specifically, yes.
Joe Spak: Yes. So as you know, China is about 20% of our global sales. And in China, 75% of our total sales are with the Chinese OEMs. So we're very well positioned with them as they grow in their domestic market and in support of their strong export. One other thing I mentioned, 90% of that business is on NEV with those domestic OEMs. So we're in a great position.
John Murphy: That's very helpful. Thank you very much.
Operator: Your next question today will come from Colin Langan with Wells Fargo. Please go ahead.
Colin Langan: Oh, great. Thanks for taking my questions and congrats, Fred, on your retirement. It's been a pretty impressive pivot to e-powertrains under your leadership. On e-powertrains, any color on how e-products should perform this year? I noticed the battery side was a bit weaker sequentially, and I think there's some slowing in North America you've indicated. Should we start seeing help? I know Europe with regulations, there should be a light vehicle bounce there. Likely some increase in the US. Does that start showing up in maybe the second half? Or how should we think about that?
Joe Spak: So Colin, we are growing year over year in the e-product business. It is softened a little bit mainly due to the battery business, which you referenced. The way we, I guess, you want to think about it is we are flat year over year in battery sales. When it comes to units, the revenue was down a little bit mainly due to cell pricing, which is bringing the overall revenue down. But overall, it's, you know, greater than a $600 million business. We really like that Akasol business we bought, and it's ahead of where we purchased it despite a lot of the turmoil and despite the lower cell pricing.
Colin Langan: Got it. And then the guide for this year has 200 basis points growth over market. In the past, you've kind of talked about 4%. You've called out a couple of things. I mean, should we think about eventually getting back to something like a 4% or is this lower EV adoption just kind of holding that back for several years from now?
Joe Spak: Yeah. The past few years, our outgrowth has been in that 2% to 3% range. So 2025 is close to this range. You know, my focus is really on outgrowing our markets. We think the portfolio is the right one. In the short term, the biggest driver in 2025 of the lower outgrowth is the delay of a North American EV program, which we previously disclosed. And as I mentioned, the cell pricing on the battery pack business. My focus is really to outgrow on both sides of the portfolio. So we want our foundational products to do what they can to expand market share, and we're in a great position because, as you know, on our foundational products, we're number one or number two in that side of the business. And then on the e-side, as new launches and RFQs start to come out, we're in a good position to also outgrow those markets.
Colin Langan: Got it. Alright. Thanks for taking my questions.
Operator: And your next question today will come from Ryan Brinkman with JPMorgan. Please go ahead.
Ryan Brinkman: Hi. Thanks for taking my question. Just curious, with regard to the products that you manufacture and the extent to which they are installed on products in Mexico versus, you know, brought across the US border. And then what any preliminary conversations with automakers might look like in terms of the pass-through of any potential tariff costs. Thank you.
Joe Spak: Yeah. Ryan, let me take that one. So I'll start by saying we generally produce in the same regions as our customers produce. But when we look at 2024, and the amount of imported material and value to the US, it was about $875 million. When you break that down, about half of it originated in Mexico, 10% of it originated in Canada, and 5% originated in China. Ultimately, there's a lot of news going on right now. We're going to continue to watch that. But ultimately, if there's an impact to BorgWarner, we're going to need to find a way to share that with our customers and our suppliers. That's how we're thinking about it.
Ryan Brinkman: Great. Thanks much.
Operator: Thank you. And your next question today will come from Luke Junk with Baird. Please go ahead.
Luke Junk: Good morning. Thanks for taking the questions and my congratulations. Maybe starting with the outgrowth, hoping you could just help us understand at least directionally what that assumes for e-products and PowerDrive. I guess I'm looking specifically in Europe where you had a big launch here in 2024 and in China relative to what are, of course, continued tailwinds around NEV adoption overall? And I guess any offsets we should be thinking beyond what you've already mentioned in any distinct book of business in either Geo as well? Thank you.
Joe Spak: Yeah. Hi, Luke. So we see EV adoption increasing year over year in all the markets. When we think about our segments, one of the things we did last July, as you recall, we organized into four operating segments to give better transparency in how each of those businesses are performing. So we think that's going to be a good indicator of how the businesses are performing in terms of outgrowth.
Luke Junk: Got it. And then for my follow-up, I'm hoping you could just maybe expand on your comments around foundational awards. It's now been a couple of quarters in a row you've highlighted a good number of foundational awards. As you mentioned, you're seeing a reacceleration in RFQs. I just want to try to square how that might translate to outgrowth, not this year, but looking out 2026-2027. And especially, you know, it seems like there may have been a lull just given where the industry's focus was a few years ago in those awards. And how that might translate to some pickup in 2026 plus? Thank you.
Joe Spak: Yeah. As you mentioned, we have highlighted awards on both sides of our portfolio and an increasing number on the foundational side. I think that speaks to the strength of our portfolio. And as customers are evolving their cycle plans, they're looking toward us since we're number one or number two in those foundational products to support them. Those often look like program extensions. In some cases, it may be some new programs that they're putting out for bid. But I think what's important here is we want to help grow across our entire portfolio. And those are great examples that we highlighted. You see wins in both the foundational and on the e-side.
Luke Junk: Understood. Thank you.
Operator: And your next question today will come from Joe Spak with UBS. Please go ahead.
Joe Spak: Thanks. And, Fred, again, my congrats as well. Enjoy. Just maybe one on the guidance, just a little bit more color. I just want to understand, like, that is what you're saying that, you know, that North America weighted down 3% to 4%. I think if we look at some third parties, it's closer to down 2%. Is that delta sort of the, you know, I guess, conservatism you're sort of putting in for maybe some disruption as to what could happen if tariffs come in? I just want to be clear on that. And then I don't think I heard, I turned a little bit late, I don't think I heard sort of any, you know, e-products overall. I know you have the new segments, but any sort of e-products sort of expectations for this year? Is there any color you can provide there just so we could sort of, you know, track, I guess, performance relative to some of the underlying market dynamics?
Joe Spak: Yeah. So starting with some color on the market, we formulate our industry forecast internally. And directionally for the last few years, we've been fairly accurate. You know, when we think about the global markets, maybe we can break it down a little bit. So that minus 1% to minus 3%, starting with North America, down 3% to 4%. As you know, there's a lot of inventory in the system. We've also baked in a little bit of headwinds pending tariffs that may come. In Europe, 4% to 6% down due to signs of both the backlog and economic headwinds that they're seeing. China is a brighter spot. They're flat to down 1%. So that's a little bit of color on your first question. Yeah. I'll jump in with sales. So I reported 2024 sales a little over $2.3 billion for e-products. As we move forward, you'll see disclosure in our 10-Qs breaking out e-products from foundational. And so you'll see that as we move forward.
Joe Spak: But anything on e-products in relation to the overall guidance? We're not providing that outlook. As Joe indicated, our focus is outgrowth on both sides of our portfolio.
Joe Spak: Okay. I heard the second question is thinking in some of your prepared remarks, you talked about building on your portfolio organically and inorganically. And I don't think that's a change from what you've talked about in the past as an organization. Right. You know, there had been some messaging or communication that, you know, inorganic has been paused. I guess I'm wondering, as you sort of take over here, how you think about that going forward, especially since we've seen some, you know, activity in M&A in the space, and I'd say I would even say sort of more broadly in the markets. Like, do you expect a little bit more focus on inorganic opportunities as we move forward from here?
Joe Spak: Yeah. So we will continue to invest organically as our top priority. We have a terrific product portfolio, and we see lots of opportunities to keep building on that and growing that to outgrow the market. We will continue to look at acquisitions as it remains an important part of our strategy. So the industry turbulence that we're all witnessing right now actually provides a unique opportunity for BorgWarner given our financial strength. So as we execute them, if we execute them, it'll be in a very thoughtful way. And our focus is to create long-term shareholder value.
Operator: Thank you. And your next question today will come from Edison Yu with Deutsche Bank. Please go ahead.
Edison Yu: Thank you for taking the questions and congrats, Fred. I wanted to ask about eRev. You've obviously had quite a bit of success in China with that. How are those conversations going in the US and Europe? And do you think the volumes there could, you know, in three or four years, be similar?
Joe Spak: So we have seen some success on eRevs in China, as you mentioned. I would say the other regions are starting to look at eRevs as a way to, especially in the truck market, meet all the requirements for our customers, but also provide, you know, better overall fuel economy and emission reduction. So we don't see it in big volumes just yet, but we do see it as an emerging option architecture for the customers to meet their emission requirements.
Edison Yu: Understood. And just one thing on the guidance for China. Are you assuming the scrappage incentives still continue? I think there's probably, to your point, you know, you mentioned some risk, but in terms of the upside, curious what kind of you're assuming there?
Joe Spak: No. We're really looking at a China market that is flattish year over year. So we haven't factored that in at this point.
Edison Yu: Okay. Thank you.
Operator: Your next question today will come from Emmanuel Rosner with Wolfe Research. Please go ahead.
Emmanuel Rosner: Thank you. My first question is on the CapEx outlook. Can you provide a little more context around the lower CapEx budget and to what extent this extra free cash flow would go, you know, towards buybacks versus something else?
Joe Spak: Yes. So let me address CapEx. When you go back a few years, our CapEx was in kind of the mid-5s as a percent of sales, 5.5%, 5.4%. We saw this year come down to below 5%. Our guidance as we look at it this year is maintaining that around the high 4s, low 5s as a percentage of sales. So that's how you should think about it. From a buyback perspective, we have not announced any specific plans. So I wanted to address that a little bit. You know, when we step back and think about buybacks as a company, we've deployed a lot of cash to shareholders, about $3.4 billion since 2020. So we've deployed a lot of cash to our shareholders. I want to step back and talk about our goal. Our goal as a company is to really focus on earnings and cash flow, grow earnings and cash flow over time. And as we think about buybacks for this year, we're going to use the full power of BorgWarner to focus on earnings growth, to focus on full cash and cash flow growth. As we continue throughout the year, we'll look at this lever as an item to pull, and we'll look at it appropriately as we move forward. That's how we're thinking about buybacks this year.
Emmanuel Rosner: Got it. That's helpful. And then how are you thinking about the growth outlook this year and also beyond for EV products in China, specifically given very competitive market dynamics?
Joe Spak: Yes. So, I mean, more broadly speaking, 20% of our total business is in China. And as we mentioned, we're very strong with the Chinese OEMs. In fact, the Chinese OEMs have over 90% of the market share on EVs, and they are 75% of our business. So we feel very well positioned with the Chinese, whether they're serving the domestic market or, as we've seen in the last few years, exporting those vehicles.
Operator: We have time for one final question, and that question comes from Dan Levy with Barclays. Please go ahead.
Dan Levy: Hi, good morning. Thanks for taking questions, and Fred, congratulations to you. Wanted to first just start with a follow-up on that last question there. PowerDrive was disappointing or soft in 2024. Maybe you can give us a flavor for what turns around in that business. And maybe you could just comment or remind us why Asia, in PowerDrive, was as soft as it was despite EV in China doing as well as it did.
Joe Spak: Yeah. Maybe I'll start on the year-over-year performance. So we were down a little over $200 million in sales. When you think about that, that was really on the foundational side of their portfolio as a customer program. When you look at the e-side of the portfolio, it was actually relatively flat. There was just volatility in the market. I'll let Joe comment on going forward.
Joe Spak: Right. So as we look forward in 2025, we're in the middle of launching a number of new products and platforms. So that's what's really bringing the additional growth on the PowerDrive side of the business.
Dan Levy: And how much of that is China?
Joe Spak: Yes, we don't break out specifically China, but let's say that they're a strong, they've got a strong position in the overall market. Let Pat maybe cover that in a follow-up.
Dan Levy: Okay. Thank you. And then as a follow-up, wanted to just understand the EBIT bridge. And maybe we could just compare versus 2024 because on organic revenue, flat or down slightly, you still had EBIT up some $60 million. Now in 2025, you know, you've talked about restructuring benefits for e-product. And I would presume there's going to be some pricing benefits for programs that you've tooled for, but the volume is never appreciated. So why aren't we seeing maybe a little more margin benefit given these?
Joe Spak: Yeah. So let me walk through the guide. When you start with last year's sales of $14.1 billion, the midpoint of our guide is $13.7 billion. And when you look at the difference and exclude foreign exchange, again, that $410 million, we're basically slightly up about 40 basis points against the market backdrop that we expect is down 2%. So that's where you get about our 250 basis points of outgrowth. As you look at our EBIT line, we're maintaining 10.1% on that relatively flat sales. As we look at the low end of the guide, we're basically decrementing at 10%. At the high end, in the mid-teens. So we feel really good about the performance that you're seeing in the guide. That's how we're thinking about it. It does incorporate the savings year over year from our e-product restructuring.
Dan Levy: And what was unique in 2024 that is not repeating in 2025 that you had such strong incrementals?
Joe Spak: I think when you look at our performance in 2024, we really focused on restructuring savings. We focused on cost controls across the business, including GSM and productivity. And we're maintaining that as we look into this year. And so we feel really good with where we landed in 2024 and this outlook for 2025. We're going to keep our focus on cost controls as we move forward.
Dan Levy: Okay. Thank you.
Patrick Nolan: Thank you all for your great questions today. If you have additional follow-ups, feel free to reach out to me or my team. With that, Nick, you can go ahead and conclude today's call.
Operator: Thank you. This concludes the BorgWarner 2024 Fourth Quarter and Full Year Results Conference Call. You may now disconnect.